Operator: Good morning, ladies and gentlemen. And welcome to the PLx Pharma Q3 2018 Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Ms. Lisa Wilson, Investor Relations for PLx Pharma. You may begin your conference.
Lisa Wilson: Thank you, Kyle. Welcome to PLx Pharma's Q3 2018 earnings results call. This is Lisa Wilson of In-Site Communication, Investor Relations for PLx. With me on today's call are Natasha Giordano, President and Chief Executive Officer and Rita O'Connor, Chief Financial Officer of PLx. You can also access the webcast of this call through the Investors section of the PLx website at plxpharma.com. Before we could started, I would like to remind everyone that any statements made on today's conference call that express a belief, expectation, projection, forecast, anticipation or intent regarding future events and the company's future performance may be considered forward-looking statements as defined by the Private Securities Litigation Reform Act. These forward-looking statements are based on information available to the PLx Pharma's management as of today and involve risks and uncertainties, including those noted in our press release issued this morning and are our filings with the SEC. Such forward-looking statements are not guarantees of future performance. Actual results may differ materially from those projected in the forward-looking statements. PLx specifically disclaims any intent or obligation to update these forward-looking statements, except as required by law. A telephone replay of the call will be available shortly after completion for two weeks. You will find the dial-in information in today's press release. The archived webcast will be available for one year on our website plxpharma.com. For the benefit of those who may be listening to the replay or archived webcast, this call was held and recorded on November 9, 2018. Since then, PLx may have made announcements related to the topics discussed. So please reference the company's most recent press releases and SEC filings. With that, I will turn the call over to PLx's CEO, Natasha Giordano.
Natasha Giordano: Thank you, Lisa. Good morning, everyone. And thank you for joining us. Last quarter we were excited to reveal the new FDA approved name for our next generation novel aspirin Vazalore. We believe that the new name is more closely aligned with its unique clinical advantages for patients at risk of having a cardiovascular or cerebrovascular event. Last spring we announced that during the technology transfer process to commercial scale manufacturing, we discovered some inconsistencies in an outsourced key ingredient in our formulation. Since that time, we've been singularly focused on identifying and testing an alternative. Today, I am pleased to share with you some significant progress the company is made toward the development and future launch of Vazalore. First and foremost, we've identified a US-based alternate supply of a key ingredient in Vazalore. The PLx team has achieved consistent successful dissolution and stability results in initial testing of the new formulation. We have been confirmed, which have been confirmed in three labs including our internal lab. The new supplier of the key ingredient and their current good manufacturing practices has been confirmed. As far as next steps, the path forward will include, manufacturing of the development scale batches and the preparation of the FDA pre-submission meeting briefing packet in Q1 of 2019. Targeting the Type C meeting with the FDA in Q2; completing the registration batches in Q3; filing the sNDA submission in the end of 2019 and launching Vazalore in mid 2020. We continue to focus on the consistency, safety and optimal formulation of our product as we advance our program to obtain approvals and ultimately bring Vazalore to market. We're excited for the opportunity to address the critical unmet need in the market and position Vazalore as the new standard of care for the secondary prevention patient in cardiovascular disease. With that I will turn the call over to our CFO, Rita O'Connor. Rita?
Rita O'Connor: Thank you. Natasha. In the third quarter of 2018, we recognize revenue of $216,000 compared to revenue of $62,000 for the prior year period. Revenue in both 2018 and 2017 periods is attributable to work performed and an award from the National Institutes of Health federal grant received in 2017. This grant is in support of PLx's novel formulation of aspirin for the chemo prevention of colorectal cancer. Research and Development expenses were $1.2 million for the third quarter of 2018 compared to $1 million in the third quarter of 2017. The expense in both periods reflects continued product development and manufacturing activities for Vazalore. The third quarter of 2018 included development work on the new formulation of Vazalore. Future spending in this area will include manufacturing of development scale batches, which will be used in the briefing package for the FDA Type C meeting. After the FDA meeting, we will be manufacturing registration batches on a commercial scale to be included in the sNDA submission plan for the end of 2019. General and Administrative expense totaled $1.8 million in the third quarter of 2018 compared to $3 million in the third quarter of 2017. This decrease primarily reflects lower compensation expense due to the non-recurrence of prior your merger and finance related compensation payments. Non-cash stock based compensation expense was $248,000 in the third quarter of 2018 versus $942,000 in the same period of 2017. Other incoming expense net totaled approximately $622,000 of net other expense for the third quarter of 2018 compared to $118,000 of net other income in the prior year period. This change is largely attributable to the non-cash change and fair value of warrant liability primarily due to the fluctuation of the price of the company's common stock. An increase in the company's stock price causes an increase to the liability that's higher expense for the period. Whereas a decrease in the stock price causes a decrease to the liability that's an increase in income. Interest expense of $291,000 through the third quarter of 2018 includes $174,000 of cash interest related to our term loan with Silicon Valley Bank, and the rest of the interest expense includes the amortization of the debt discount and payoff fee at the end of the loan. The $7.5 million loan was entered into in August 2017 and thus only accrued interest for two months of the quarter in 2017. We are currently paying interest only payments on the term loan but starting in February 2019, we begin paying principal payments equaling approximately $938,000 per quarter. Interest income was also higher due to the higher cash balance in 2018 as well as higher interest rates in 2018 versus 2017. Net loss for the third quarter of 2018 was $3.4 million or $0.39 per share compared to a net loss of $3.8 million or $0.44 per share for the third quarter of 2017. We September with $16.5 million in cash and cash equivalents and our cash burn for the quarter was $1.4 million. We have successfully preserved cash through cost controls during the third quarter by doing some of the development work on the new formulation in our own Houston lab and carefully planning out our pre-launch marketing spends. With that I'll turn the call back to Natasha to discuss our plans leading up to the launch. Natasha?
Natasha Giordano: Thank you. Rita. Now let's turn to our commercial strategy and the deeply experienced management team that has been assembled to execute it. We believe the Vazalore as the first-ever FDA -approved liquid filled aspirin capsule has the potential to address a critical unmet need and to become the new standard of care in the secondary prevention market of cardiovascular disease. Vazalore's novel mechanism of action, reliable and predictable antiplatelet efficacy and improved gastrointestinal or GI safety set it apart as a next-generation aspirin product. Our market research shows that physicians indicate a high intent to prescribe or recommend Vazalore for their secondary prevention patients, and we're extremely encouraged by these findings. For those of you on the call who may not be familiar with the aspirin market or with Vazalore's unique qualities, I'd like to provide some background about why we're so excited as a management team about this product, and why we believe that Vazalore has the potential to disrupt the aspirin market, and positively impact these patient's health. Recently four high quality clinical trials reported top-line results on more than 60,000 patients on aspirin treatment in both primary and secondary prevention. We view the aggregate results of these trials is highly positive and highly supportive and confirm our commercial strategy for Vazalore as therapy for the high-risk patients with established cardiovascular disease or atherosclerosis cardiovascular disease, which I'll refer to as ASCVD. And also is clearly indicative of the unmet need of a new generation aspirin product. Vazalore is target market is a ASCVD, which includes patients with a history of coronary artery disease including events like an MI, have had stents implanted, cabbage stable and unstable angina, history of cerebrovascular disease like a stroke or TIA, plus the history of peripheral artery disease. And finally diabetics without established cardiovascular disease as these patients are at greater risk and fall into the secondary prevention market. According to the American Heart Association about 92 million people live with cardiovascular disease in the United States. Aspirin is considered a foundational treatment for these patients and the most extensively used worldwide. Of those $92 million people many have ASCVD; about 43 million people need daily aspirin therapy, but because of common complaints such as GI upset, patients often fail to take their aspirin. This market opportunity represents a potential retail market of $10 billion for Vazalore at our pricing. Initially enteric-coated aspirin which today represents more than 90% of the aspirin market was developed to address these GI concerns. Yet studies have shown that enteric-coated aspirin has variable and unreliable antiplatelet efficacy and does not have improved GI safety. Because enteric-coated aspirin offers only unidirectional protection as it enters the stomach and does not protect the GI tract, it can actually cause gastric ulceration. Once the tablet passes into the duodenum it disintegrates releasing free aspirin which reflexes back into the stomach potentially inducing surface injury. By contrast what makes Vazalore unique is its mechanism of action which takes advantage of our patented PLxGuard delivery system to selectively release drugs into targeted areas of the GI tract. The process happens in four steps. First, the capsule dissolves in low pH releasing the lipid matrix content. Second, digestive agents and rising pH emulsify the lipid matrix with aspirin now free for absorption. Third, aspirin is absorbed in the distal duodenum. And fourth, the content when the contents reflux back into the ph environment, the leaked lipid matrix reassembles thus protecting the stomach from direct contact with aspirin. This process offers clear and distinct advantages namely greater absorption, efficacy, safety and tolerability. And is the reason for our strong and lengthy patent life. We have recently developed a new Vazalore mechanism of action video that healthcare professionals will be able to access on our website that depicts these advantages as our capsule travels through a simulated GI tract. Another way to understand the product benefits of Vazalore is to look at what is called a complete aspirin response. A complete aspirin response means that the antiquated therapy suppresses surges of thromboxane at an inhibition level of 99%. Both the FDA and clinical practitioners consider thromboxane inhibition to be the best marker of aspirin effectiveness. What sets Vazalore apart and what we believe will lead to a disruption in the market is that Vazalore is far more likely to achieve a complete aspirin response compared with the current standard of care enteric- coated aspirin. Our data suggests that Vazalore has 71% lower risk of acute gastric ulceration than regular aspirin. We believe that interventional cardiologists and other specialists will find this data to be very compelling when they consider options for caring for their patients. In fact, feedback from specialists including cardiologists, neurologists and endocrinologist has been especially encouraging with over 80% indicating a high intent to prescribe or recommend Vazalore for their high-risk patients. To further our commercial preparedness, we are continuing our efforts and engaging the medical community about Vazalore's exciting potential and to build awareness. Last May, we attended the Euro TCR Conference, the world leading course in interventional cardiovascular medicine. There were nearly 12,000 professionals in attendance and it was a perfect opportunity to engage with key thought leaders. Most recently, we attended the European Society of Cardiology Conference and the TCT Conference, one of the largest and most important educational meetings specializing in interventional cardiovascular medicine. Dr. Deliargyris, our Chief Medical Officer and Interventional Cardiologist and internationally recognized expert in thrombosis is leading our efforts to connect and engage with key thought leaders as we raise awareness around the unmet need for a better aspirin formulation and articulate the clinical value proposition of Vazalore to specialists around the world. Dr. Deliargyris is collaborating with our esteemed scientific advisory board which continues to guide our path forward. These world-renowned thought leaders represent specialties across cardiology and gastroenterology. They believe in Vazalore's broad market potential and see this as an important opportunity to educate the medical community, and address the significant unmet medical need. Their continued advocacy is critical as we take steps to bring Vazalore to market and as we look to change the standard of care in a treatment of ASCVD. We're also pleased to announce that Dr. Roxana Mehran of Mount Sinai has recently joined our Scientific Advisory Board. Dr. Mehran is a professor of medicine at Mount Sinai School of Medicine, Director of Interventional Cardiovascular Research and Clinical Trials and Chief Scientific Officer of the Clinical Trial Center at the Cardiovascular Research Foundation. We are continuing discussions with the retail trade including the top chain drugstores and mass merchandisers as we emphasize how Vazalore can help patients and based on their feedback together we believe that Vazalore has the potential to breathe new life into this category. A word about the management team that has been assembled here at PLx. Each and every one of us has joined PLx because we believe in the promise of Vazalore and how it can impact patients and how PLx can change the aspirin category overall. Our Board of Directors and executive team is made up of deeply experienced executives that have launched both Rx and OTC products quite successfully. To name just a few, products like Mucinex, Lipitor, Neurontin and Lyrica and Rx to OTC switches like Zantac, Claritin, Zyrtec Rogaine, Lamisil and Motrin. Each of us bringing unique and distinct capabilities that will differentiate Vazalore for patients and their health care providers. Let me conclude by saying that we are actively engaged on all fronts. Manufacturing, thought leader engagement, retail distribution and consumer messaging. To take the interim steps toward approval and the ultimate launch of Vazalore in mid 2020. We believe in our product and the outstanding opportunity to fill a significant gap in the secondary prevention market. Our highly credentialed management team is excited and passionate about improving the performance of established therapeutic agents using our proprietary PLxGuard targeted delivery platform and is committed to improving the lives of many at-risk patients. We take pride and inspiration from the enthusiastic response we've received from key thought leaders and experts in the field as we move Vazalore towards commercialization. With that I'd like to open the call for questions. Operator, please go ahead with the instructions.
Operator: [Operator Instructions] Your first question comes from the line of Ken Trbovich. Your line is open.
Ken Trbovich: Thanks for taking the question. Natasha, I appreciate you gave the pass forward but unfortunately it was so fast I didn't catch it all. You said the briefing document or the pre-submission briefing package would be submitted first quarter and a Type C meeting second quarter. What follows that?
Natasha Giordano: Sure. So the --we're targeting the Type-C meeting with the FDA to be held in Q2 and then we are targeting to complete the registration batches in Q3; filing the sNDA submission in the end of 2019, and then launching Vazalore or mid 2020.
Ken Trbovich: Got it. And remind us again this is a manufacturing supplement, so we're not looking at a standard sort of six of ten month review that we would normally see with NDA?
Natasha Giordano: Correct. Ken, this --we --our assumption is that this will be a CMC supplement. We've had communications with the FDA in that regard, but of course when we submit our briefing package to the FDA and we have our meeting, we will then understand the things that they need. This is not a --there's no need for clinical studies to be done. This is purely a manufacturing supplement to show the FDA that we're manufacturing both doses in the same way.
Ken Trbovich: Right because the NDA has already approved on the 325 milligrams dose, so it's just a lower dose no reason to look at it from anything other than the manufacturing side.
Natasha Giordano: That's right, nicely -
Ken Trbovich: So, well, yes it's sometimes it can be confusing and I know you had to convince me of that last year so and I'm just reflecting back trying to make sure I recall those details correctly. Rita, one question for you, I know obviously there was a slight uptick in R&D which is positive signs certainly given the fact that you guys have identified a new source of supply for the key ingredient. How should we be thinking about those commercial batches and the sort of the implications for &D next year? I would assume that we're talking single-digit millions for those commercial batches but wasn't sure if you know because you're going to have to do batches for the initial submission and then do commercial batches after that sort of whether the cumulative costs start to look more like double digits or not.
Rita O'Connor: No. I don't think they'll look double digits but the manufacturing, so if you put it in overall cash burn, thought process for the rest of 2018 will probably burn about the $3 million that we had been burning, and then as you get into 2019 as you so eloquently put we're going to start first the development batches which are smaller in scale that will go into the briefing packet. And then we'll do larger scale for the registration. So, yes, you can see the cash burn increasing more like $4 million for the operations, but then as I also mentioned, we're going to start paying back our principal payments on our term loans starting in February. So that will bring that up closer to $5 million.
Ken Trbovich: And then from a perspective and I apologize this being the last question I promise. From the perspective of looking at the submission is there a filing fee due for this type of application or no?
Natasha Giordano: No.
Rita O'Connor: No.
Ken Trbovich: Okay.
Natasha Giordano: That's been confirmed as well from the FDA.
Operator: Your next question comes from the line of Elliott Wilbur. Your line is open.
Elliott Wilbur: Thanks, good morning. First couple questions around the alternate supply source. Obviously, a name or entity that's already known to FDA since you mentioned the fact that they are a GMP client supplier, but with respect to the actual ingredient itself is this something that they currently supply as part of a commercially approved product? And I guess the question sort of directed along the lines is the active --as part of your submission is it going to require some sort of pre-approval inspection by FDA or is that not required simply because this is an inactive ingredient?
Natasha Giordano: Okay. So remind me, good so --we don't think that there'll be an FDA inspection. However, we know that this company has had their site FDA inspected. So we have no concerns there. They are CXC GMP compliant which is also an added benefit. We've done an audit there quite successfully with no findings at all. So we're very encouraged and confident with this new supplier. And the first question what was what-I answered it, okay.
Elliott Wilbur: No, well, I was just trying to get a sense if the --it's a secret-- if the secret ingredient is, if they clearly produce it as part of it or if it's containing a commercial approved product? Yes not yours obviously but another one.
Natasha Giordano: Yes.
Elliott Wilbur: Okay. And I guess with sort of respect to resubmission of the 81 milligram, remind me again of what the duration of required stability data is?
Natasha Giordano: Three months on term, three months accelerated.
Elliott Wilbur: Okay, and then just last question now actually you talk a quite a bit about some of the recent medical events that the company has attended. And just maybe curious about your interactions there and whether or not the practitioners and opinion leaders you spoke with. Do you think they really understand the efficacy message of Vazalore? I know there's been quite a bit of new research out in the aspirin market in last 12 to 18 months probably more so than last decade. I am just sort of wondering how that may be influencing what is ultimately going to be an efficacy message on your part? And whether or not these interactions providing any feedback or observations that might prove useful as you had to worry FDA submission or ultimately commercialization?
Natasha Giordano: Yes. We're very excited about the interactions that we've had. I mentioned Dr. Deliargyris; he came here to this company. He certainly had other opportunities to go to larger companies more established, but yet what drew him here was the product and his conversations with me. With the key thought leaders that the top of the pyramid, Elliott, these are the people that really drive the narrative in terms of cardiovascular medicine and how these secondary prevention patients should be treated. You're right in that there was significant aspirin clinical trials released and reported on in the last several weeks, and we found that to be very encouraging although those trials were in both primary and secondary prevention. And I think for primary prevention, it's all about weighing the benefit and risk ratio. But our very specific strategy in commercialization of Vazalore is targeted towards that secondary prevention patient. And that's where our discussions with these key thought leaders people like Dr. Deepak Bhatt, Gabriel Steg and others feel that this really can address a critical unmet need in the market. Here, we have a patient group of 43 million people in this country that need to have that efficacy. So that they don't have their first event or their second which could be fatal. And that's where the efficacy message really resonates. The GI message also resonates because in order to get the benefit of a value of aspirin in general you have to take it every day. And so with our data in both efficacy and improved safety, we feel that we have something that will absolutely breathe new life into a category that's been quite stale for many years. So we're very encouraged and it does feed into our commercialization strategy and our confidence in that we want to reach out to the specialists first, make sure that they understand the new data and supplement that with some consumer messaging as well. So we're excited to bring this about to market where we're about 18 months away. So it's coming soon.
Operator: I am showing no further questions at this time. I would now like to turn the conference back to Ms. Natasha Giordano.
Natasha Giordano: Thank you very much. So we see a tremendous market opportunity as we focus on ASCVD within this addressable patient population, representing a potential retail market of $10 billion. We're confident that Vazalore has the potential to reenergize the aspirin market, and to be the best in class therapy for ASCVD. We are excited about launching Vazalore in mid 2020, and addressing a critical unmet need in treating ASCVD. We believe that Vazalore, our next novel generation aspirin has the potential to transform the current standard of care. Thank you again for joining us this morning. And have a great day.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. And have a wonderful day. You may all disconnect.